Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Evercore Third Quarter and Nine Months 2017 Financial Results Conference Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be opened for questions. [Operator Instructions] This conference call is being recorded today, Thursday, October 26, 2017. I would now like to turn the conference call over to your host, Evercore's Chief Financial Officer, Bob Walsh. Please go ahead.
Robert Walsh: Thank you. Good morning and thank you for joining today for Evercore's third quarter and nine months 2017 financial results conference call. I am Bob Walsh, Evercore's Chief Financial Officer. Joining me on the call today are John Weinberg, our Executive Chairman, who is here with me in New York; and Ralph Schlosstein, our President and Chief Executive Officer, who is travelling. After our prepared remarks, we will open up the call for questions. Earlier today, we issued a press release announcing Evercore's third quarter 2017 financial results. The company's discussion of our results today is complementary to that press release, which is available on our website at evercore.com. This conference call is being webcast live on the Investor Relations section of the website and an archive of it will be available for 30 days beginning approximately one hour after the conclusion of this call. I want to point out that during the course of this conference call, we may make a number of forward-looking statements. These forward-looking statements are subject to various risks and uncertainties and are important factors that could cause actual outcomes to differ materially from those indicated in these statements. These factors include, but are not limited to those discussed in Evercore's filings with the Securities and Exchange Commission, including our annual reports on Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K. I want to remind you that the company assumes no duty to update any forward-looking statements. In our presentation today, unless otherwise indicated, we will be discussing adjusted financial measures, which are non-GAAP measures that we believe are meaningful when evaluating the company's performance. For detailed disclosures on these measures and their GAAP reconciliations, you should refer to the financial data contained within our press release, which as previously mentioned, is posted on our website. We continue to believe that it is important to evaluate Evercore's performance on an annual basis. As we've noted previously, our results for any particular quarter are influenced by the timing of transaction closings. I'll now turn the call over to Ralph.
Ralph Schlosstein: Thank you, Bob. And as Bob indicated John and Bob are in New York, I am in Riyadh. So if we sound slightly uncoordinated that's the reason. Once again we are pleased with our third quarter and year-to-date results. We achieved record revenues for the third quarter and the first nine months. Adjusted earnings per share for the quarter matched last year's record and/or a record for the year-to-date period. As we noted in our earnings release this morning, this is our fifth consecutive year of period year-over-year growth and adjusted earnings per share for the nine month period. Our results continue to be driven by the steady execution of our strategy, investing in and developing world-class talent as we expand our coverage of clients and broaden the services that we provide to those clients all in businesses in which we have a competitive advantage. We anticipate that 2017 will be another strong recruiting year adding six to seven senior managing directors and advisory and three in our Equities business. Our operating metrics remained strong. In advisory, we continue to be the number ranked independent M&A advisor in the U.S. league tables for announced transactions, on a year-to-date and a trailing 12 months basis, and the number two advisor among independent firms in the Global league tables on a trailing 12 months basis. And our market share has grown materially in the past year. In Equities, Evercore ISI recognized by Institutional Investor as the top independent research firm in the U.S. And we ranked number three among all firms on unweighted basis and two on a weighted basis. We also had the second highest number II number one ranked analyst, a testament to our commitment to both differentiated research and excellent client service and a competitive imperative as this marketplace continues to involve. In Investment Management, we've remained focused on building on Wealth Management businesses ending the quarter with 9 billion of assets under management. We also completed the previously announced sales of our institutional trust and independent fiduciary business in mid-October. Our strong results enable us to sustain our track record of significant capital return to our shareholders. Our Board of Directors increased our quarterly dividend by 18% to $0.40 a share per quarter, the tenth successive year of growth in our annual dividend. And our board approved an increase in the share repurchase authorization to a total of $750 million. These authorizations will allow us sustain our commitment to offsetting any potential dilution from annual bonus awards and investments in new hires while increasing the amount of earnings returned in the form of dividend. Let me now briefly recap our firm-wide financial results. The third quarter net revenues were $402.9 million a record for the third quarter. Earnings per share was $1.22 in line with the third of last year as opposed adjusted net income and share count declined by 2% in comparison in the prior year. Year-to-date, we achieved record revenues and adjusted net income of $1.2 billion and a $198.4 million respectively. Year-to-date adjusted earnings per share were $3.90, an increase of over 35% over the same period last year. These results principally reflect strong earnings from our investment banking business and a decrease reported effective tax rate. Our compensation ration regained at 59% for the quarter and the first nine months, reflecting both the higher level of recruiting for the year both in terms of seniority and numbers and the elimination of the contractual compensation ratio in the Equities business. Third quarter non-compensation costs were $61.7 million or 15.3% of revenues, as we continue to maintain cost discipline. Operating margins for the third quarter and the first nine months were 25.7% and 25.2% respectively. Let me now turn the call over to John to discuss the current advisory market environment and our advisory business. John?
John Weinberg: Thank you, Ralph. And I will spend just a minute on the market environment which remains broadly favorable. Client continues actively pursue M&A transactions in the first nine months of 2017 driven by multiple catalysts ranging from strategic, consolidating to activism. We are seeing year-over-year in both the dollar volume and the number of announced transactions with notable growth in transactions that range from the $1 million to $5 million. We are encouraged by the pickup and activity in Europe and the increase in sponsor activity. Credit markets remained broadly combinative allowing borrower to extend maturities and M&A transactions to be financed. U.S. equity issuance increased 7% in the first nine months relative to the prior year. U.S. equity trading volumes continue to decline in the first nine months of 2017. This trend coupled with reduced research budgets and regulatory changes scheduled for the first quarter of next year are creating headwinds in the sell-side marketplace. Looking ahead, we remained constructive about M&A landscape and believe that the core elements which drive health levels of M&A volume remain in place namely low interest rates, high equity prices, available credit of growing economy and strong business confidence. Our teams are active and out backlogs remain strong. Now let me spend a minute on our investment banking results. Our investment banking business had a record third quarter and first nine months. Net revenues were $382.8 million for the quarter, a 5% increase over the same period year. Year-to-date, net revenues were $1.1 billion and 19% increase over the same prior last year. The operating contribution was $97.4 million for the third quarter, down slightly versus the same period last year and $278.3 million year-to-date, an 18% increase. Our operating margin exceeded 25% in the quarter and year-to-date. For the quarter, advisory revenues of $324.8 million are up 8% year-over-year. Year-to-date, advisory revenues were $922.9 million, 27% higher than a year ago. The compensation of advisory revenues for the quarter reflected strong contributions from multiple sectors and capabilities including healthy activity in our capital advisory business. For ECM, we remained active with underwriting revenues of $11 million for the year. Year-to-date, revenues were $30.2 million, up from 24.5 million a year ago. In restructuring, we continue to be active in energy and across several other industries including transportation and retail. Productivity of our senior advisory managing directors with 17 million globally for the 12 months ended September 30th, 2017, a 20% improvement from the 30 million for the 12 months ended September 30th, 2016. As Ralph noted, we've announced 5 five new advisory Senior Managing Directors recruits in the year-to-date and it's possible we will add one to two more before the years complete. And we are also excited to have recently welcomed our largest class of new analyst to our firm .We ended the quarter with 86 Advisory Senior Managing Directors. Let me now turn the call back to Ralph to address the Equities and Investment Management business.
Ralph Schlosstein: Thanks John. Evercore ISI contributed net revenues of $49.6 million in the quarter including $4.6 million attributable to underwriting. Year-to-date, the business contributed net revenues of $162.2 million including $14.1 million attributable to underwriting. As John noted earlier, the environment for Equities remains challenging with headwinds post by weak volumes, lower volatility and continuing declines in the client's research budgets. Method two has a catalyst of change causing many of our clients to reevaluate how they use and pay for research. We are at active dialog with them to assure that we will continue to deliver advice and service that add significant value and warrants appropriate compensation. As we approach year end, we believe that it is likely that the effective method two will be to reduce the research spend of our clients not just in Europe but globally and that the research spend will increasingly be paid to clients with the highest quality products. We remain confident that the best strategy to address these market changes is to deliver the highest quality differentiated research, market commentary and investment analysis to our clients. This requires a team of A plus players. The recent II survey confirms that we have a very strong team on the field and we are very pleased to have added to that team this year announcing the addition Mike Paliotta to be the CEO of the equity business starting November 2nd, as well as the addition of two very talented senior research analyst as Senior Managing Directors. Let me now talk briefly about our Investment Management business. Investment Management reported new revenues and operating income of $20 million and $6.2 million respectively for the quarter. For the year-to-date period, net revenues were $54.2 million and operating income was $14 million. The year-to-date operating margin was 24.8%. These results predominately reflect the contributions from our Wealth Management business in the United States and the money market Investment Management business in Mexico. Assets under management from consolidate businesses increased to $9 billion in the third quarter, an increase of 3% from June 30, 2017. And of course in mid-October as I said earlier, we completed the sale of our Independent Trust and Fiduciary Business. As we have said consistently, our focus in investment management continues to be on building on Wealth Management business and on enhancing on Money Management business in Mexico. Bob will now provide further comments on our GAAP results as well as our non-compensation costs and several other financial matters. Bob?
Robert Walsh: Thank you, Ralph. Beginning with our GAAP results, net revenues on a GAAP basis was $406.6 million and $1.2 billion were a record for the third quarter and nine month period just as they were a record on an adjusted basis. Net income attributable to Evercore Inc. and earnings per share on a GAAP basis were $44.9 million and $1.04 for the quarter and $144.9 million and $3.23 for the nine months period, a record for the nine month period. Consistent with prior periods, our adjusted results for the quarter excludes certain items that are directly related to our acquisition and disposition including cost related to our Equities business. As in prior quarters, we adjusted our cost associated with divesting LP Units and interest granted in conjunction with the ISI acquisition. For the quarter, we expenses $4.8 million related to the Class E LP Units. In July, our board approved the exchange of all of the outstanding Class H LP interests into 1.9 million Class J LP Unites which vast based on the completion of service through February 15th, 2020. During the quarter, we incurred $2 million of expense related to the Class H LP interests prior to the exchange and 2.3 million of expense for the Class J LP Unites following this. As we've noted previously, we closed on the sale of the Institutional Trust and Independent Fiduciary business of ETC on October 18 on a purchase price of approximately $34 million and generated a pretax gain for accounting purposed of 8.2 million which will be included in our fourth quarter GAAP results. On sales of this business, Investment Management revenues for the third quarter would have approximated $15 million. Turning to non-compensation costs, our costs for employee were $37,300 for the quarter, 2% lower sequentially and year-over-year. With regard to taxes, the adjusted tax rate for the quarter was 37% as compared to 37.9% in the prior quarter and 38.8% in the same period last year. These results are modestly impacted in the third quarter this year by the new accounting for stock compensation awards adopted at the beginning of the year. Like many financial institutions, we have a high effective tax rate and we benefit from the proposed corporate tax reform in the U.S. The vast majority of our earnings are taxed at U.S. rates as it up see and there are only two meaningful factors that could limit the magnitude of our benefit, namely visibility [ph] and stay in local productions. With regard to share count, our adjusted count for earnings per share was 49.9 million shares, lowering comparison with prior quarter, driven principally by share repurchase transactions, on a GAAP, the share count was 44 million shares. We repurchased 3.9 million shares during the quarter - I'm sorry, during the first nine months at an average cost of $74.99, more than offsetting the shares issued for year-end compensation and those granted to attract talent over the past 23 months. We did not draw on $30 million line of credit during the third quarter and our financial - our cash position remains strong as discussed earlier does it this time of year. We hold 556 million of cash and marketable securities at the end of the quarter with current assets exceeding current liabilities of $440.7 million. I'll now turn the call over to Ralph for final remarks.
Ralph Schlosstein: Okay. Let me conclude with a few observations. Our team has significant momentum as we enter the final months of 2017, both for finishing 2017 strongly and for beginning 2018 with good momentum. Our client dialogues are very active and the level of prospective client activity is encouraging. Although as always, the timing of important deal announcements and closings is difficult to predict. We are achieving significant milestones as we steadily grow market share, increase productivity and expand our team of Advisory SMDs and Equity Research Analysts. While we have made good progress this year so far, significant opportunity still remains for us to grow our business. As we approach 2018, we will persevere our pursuit of exceptional partners to lead our advisory sectors that we do not adequately cover today and we see opportunities to broaden our coverage in Europe and other regions outside of the United States, further building and leveraging our global capabilities. Our capital advisory teams are contributing strongly in 2017 and we see opportunity for continued investment and growth in all of the services and capabilities, equities that advisory and alternatives capital raisings. We certainly expect that the headwinds in the Equities business will continue into 2018 as method two comes into effect. Here as is the case in all of our businesses, we stay focused on delivering exceptional service to our clients. Confident that a team of A plus players can profitably grow market share in what will almost inevitably be a shrinking revenue pool. We are excited about the opportunities in all of our businesses and believe that our focus on intellectual capital and providing independent advice will continue to both resonate and be highly valued by our clients. I'll now open the lines to questions. Thank you.
Operator: Thank you, sir. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Jim Mitchell with Buckingham Research. Your line is now open.
Jim Mitchell: Hey, good morning. Maybe just the first on sort of a bigger picture question, I think we've got a lot of pushback from clients I think when you look at the data around M&A for the industry it's been relatively flat if not down a little bit year-to-date but you guys continue to outperform I think what the data bases say. And just wanted to get a sense of you seem pretty optimistic on the outlook, do you think this is purely more Evercore specific and market share gains, is it non-M&A that give you the most excitement, how do we think about your ability and your positive outlook in the backdrop of sort of still a flat environment for M&A?
Ralph Schlosstein: Okay. I think there are a couple of aspects to this. One, if you look so far for the most part the independent firms have with a couple of exceptions have reported up advisory revenues. So there clearly is a market share, continued market share move from the larger firms to the independent firms and among the independent firms, we are benefiting disproportionately from that. And that shows up in the not only in the revenue statistics but in the league tables where you know as I mentioned earlier our position is very prominent first in the U.S. and second globally among all independent firms. And while I didn't highlight it among all firms, we are actually on a trailing, I think year-to-date basis seventh in the U.S. and tenth globally which are the two highest finishes, we've ever had. So among all firms, our market share in M&A activity is pretty consistently increasing. The second thing which is probably more modest but a positive also is that we have invested in broadening the services that we provide to our clients whether it's equity capital markets advisory, debt advisory, raising capital for alternative fund managers et cetera. And those have clearly not only benefited our clients but helped us as well, not only by generating in some cases revenue specifically associated with that service. But because of the broader capabilities that we have we're able to sustain sole advisory positions completely or for a longer period of time, so it actually affects somewhat the share of the fee wallet that we might get even on covered by situations. So there are a lot of things going on there but all of them I think are sustainable.
John Weinberg: I just add one thing to that which is philosophically where well we clearly view M&A volume for us and what we do very important. We are very focused on increasing our breath of relationships on an advisory basis and I think from our perspective, we feel like we're making progress on a number of fronts and becoming more important as advisors to more companies. And from our perspective what that will do hopefully over time is it will bring on even more assignments. And so as in addressing your question I think our perspective is we hope that we're building market share above what the market is above the market, but clearly our absolute focus is to make sure that we're serving clients increasingly and a larger number of clients.
Jim Mitchell: Okay, it's helpful. And when we think about your investment in the future hires, I think you mentioned some - Ralph mentioned areas that they might have too strong as you like to be whether it's sectors or geographies, what would be the biggest focus for you in terms of the opportunities, is it non-U.S. or is it other specific sectors?
Ralph Schlosstein: John, you want to get that?
John Weinberg: Sure. They're - well, we said to you before one of our focus is has been the consumer sector and we continue to be focused on that and work hard on that. And as you know we haven't announced a big hire there up to date that's certainly continuing to be something we're focusing on. We are looking at Europe and expanding our breath and footprint in Europe, so we're looking at that. We continue to build our industrial business, you saw that we added, we're continuing to look at that and we feel like we've got good momentum in dialogues on that also.
Jim Mitchell: Okay. Great. Thanks.
Operator: Thank you. Our next question comes from the line of Steven Chubak from Nomura Instinet. Your line is now open.
Steven Chubak: Hi, good morning. So wanted to start with a question on the broader equity strategy, it's a topic it's come up on last quarter's call, it's garnered a lot of focus from investors based on some of our latest discussions. But you sited some of the headwinds relating to have method implementation just general regulatory challenges and we're seeing greater emphasis on really differentiating between platforms both in terms of research and execution quality. And Ralph you spoke to the fact that you won a lot of awards on the research side and the capabilities that you have there are quite strong. But I wonder whether they need to compliment that with strong execution offering is still there. And I was just hoping you could help us better understand how Evercore ISI execution offering really fits into your longer term strategy for that business?
Ralph Schlosstein: Sure, and we have a very competitive sort of execution capability which our clients use on their own without regard to our research contribution or historically and still in the U.S. they have the capacity to do this have used as a way of paying for our extraordinary research capabilities. So we have to continue to have a very, very high quality execution capability that allows clients to say legitimately that they are getting best execution both electronically and high touch, so that will continue. On the other hand, we are not going to get into an arms race as a liquidity provider. There are plenty of large firms that can do that, we think that's a scale business, a technology business and quite honestly a low return on equity business. And so you're not going to see us make one quarter step more in that direction.
Steven Chubak: Thanks for all that color Ralph, it's certainly quite helpful and clarifies things and parse this strategy quite well. Just one more question for me…
Ralph Schlosstein: I would say also that we're part of - we're an intellectual capital firm and if you talk to the leader is of major corporations in the boards of directors, there's no question that while research and investment banking are completely independent, the fact that we have both significantly includes - increases our visibility and importance to the most important public companies certainly in the U.S. and in some sectors globally. And it's interesting I had lunch with the CEO of one of our competitors recently and he basically spoke longingly of the position that we have because of that. And so it really does have a quite positive effect on the footprint of the company with some of the most important public companies in the U.S.
Steven Chubak: Understood. And just one more from me 4Q seasonality I know it's something where you've been reluctant to just the seasonal patterns within the business, but the fourth quarter we typically see strength across the industry yourselves included just given the expectation for faster pace of deal closings ahead of year end, while the public data this quarter and certainly last quarter has proven to be less reliable as an indicator for future revenues, it certainly feels like the public backlog is given the downward trajectory suggest that we may not see that typical pattern. So I was hoping if you could just give us some insight into whether we can see that seasonal uplift in 4Q?
Ralph Schlosstein: That's a sort of question that we never answer.
Steven Chubak: Maybe a little or something nothing.
Ralph Schlosstein: Well, how about nothing. Except to say look that think except to say that as I said in my closing remarks, we think we're well positioned, we've got good momentum but there - whether something lands in December-January is truly something that is impossible to predict which is why you're getting a nothing answer.
Steven Chubak: Well, thanks for indulging me to an extent.
Ralph Schlosstein: Okay. No problem. I was in New York, I'd be less indulging.
Operator: Thank you. Our next question comes from the line of Brennan Hawken from UBS. Your line is now open.
Brennan Hawken: Thanks. Coming to the impact of investments that you've spoken to the last few quarters here, can you give us any - do you have any greater visibility or can you give us any greater color on how we should think about and frame the impact of investments both in your core advisory M&A business as well as in the equities business and how that might impact results as we start to think about modeling you over the coming year or two?
Ralph Schlosstein: Okay. Well, as we said at the beginning of this year, we set our comp accrual at 59% as opposed to the 57.3% that we had in our final results last year. We've obviously kept that accrual at 59% for the third quarter because at this point, we don't know whether it should be any different from that for the precise reasons that I gave in the last in the answer to - non-answer to the last question. As a general matter, and the reason we did that at the beginning of the year just to remind everyone is that we anticipated a somewhat higher level of hiring in terms of numbers and a significantly higher level in terms of seniority. That's predominantly visible to you today but not completely as John indicated. The way higher is generally work is the economic, the comp cost of them is roughly equal in the stub year that they get hired and in the first full year. The way the revenue part of that typically works is that we get very little of any revenue, it's the exception rather than the rule in the stub year and we tend to have some on average 50% to 70% of full up and running production in someone's first full year with the firm. So the - I don't want to say it's a pig, because it's not a pig, we're really happy and it's going to be an amazing investment, but the pig going through the snake takes two years as a general matter, offset by revenues, some modest uptick in revenues in that second year. The only thing that we can't anticipate at this point is the amount in seniority of hiring that we will do next year and obviously that could be - could affect that rather long and hopefully not too convoluted answer that I just gave you Brennan. So that's about as good as I can do. Bob, is there anything else you could add to that?
Robert Walsh: Just to put some color on it Ralph, as people who have tracked Evercore sometime now, we look carefully at the ramp rate of our hires, it has been quite strong for the class for which we now have more than 12 months of visibility. And to tie to John's remarks, when we enter a sector where we've been under represented as we are beginning to industrials, again it takes time as Ralph mentioned but you bring on new clients, you bring on substandard relations with those new clients if history and the indicator, it has good results.
Ralph Schlosstein: Yeah. And just to be clear Brennan, I've been pretty, I have said I think the same thing for more than eight years on this call and that is that I believe we can run this business in 55% to 58% comp ratio. If we stopped hiring we'd get to the lower end of that range very quickly. But we're going to continue to invest for the future because the hires that we make add real value to our shareholders two to three years out. And what I had said in every year until this year is that we expect to make, when I join the firm our comp ratio was in the mid 60's and I said I expect to make - we expect to make steady progress toward that range of 55% to 58%. And however that if we get an opportunity to hire either a larger number or a number of more senior or a combination of those two in any given year that we will sacrifice that steady progress to make the investment for shareholder value two to three years out, which is why at the beginning of this year, we did - we shared with you all of you the fact that this would be a year in which we would be doing that. So I think we've been frighteningly consistent on this matter.
Brennan Hawken: Yeah. Okay. All right, that's fair. Thanks, Ralph and Bob. One question following-up on the point that Steve made on execution, can you - I don't know if you saw, but as you see put up the no action letter here allowing firms to accept. So we at least got that I mean global why there will be some firms that apply things globally. Certainly you indicated you're not interested in joining an arms race, but can you help us think about if you decide you want to shift and go a different direction, you go subscription model, what kind of an expense base is tied to the execution these capabilities that you've got in ISI and what kind of an opportunity could that represent if you wanted to just go research only?
Ralph Schlosstein: None of us have that data on this call, Bob can certainly provide to you roughly afterward. But I do want to reiterate, we have many clients including some of the most the largest and most discerning in the world who trade with us because they've concluded in the circumstances in which they do trade with us that we provide best execution. So in the world as it's constituted today even as we anticipate how it evolves, we haven't looked hard at that. If the world evolves a lot, obviously that will be something that we will look at. But today there is no dissatisfaction on a part of the clients that would say we're providing a less than best execution service and it obviously provides significant added revenue which certainly our analysis shows significantly increases or significantly exceeds the cost today of providing those services which is why we haven't looked seriously at it.
Brennan Hawken: Thanks for that.
Ralph Schlosstein: Okay. The other thing is Brennan is as you know as well as anyone, the clients have been rapidly evolving on this, I mean there is one client who I personally happen to have contact with, they told us want to go that they were going to do one thing in Europe and another thing in the U.S. and then they decided a month's later that they weren't going to do that. And so this is something we're very close to our clients, we talk to them all the time and this is clearly going to be an evolving story.
Brennan Hawken: Yeah, we can turn around this had changed. Thank you.
Ralph Schlosstein: Exactly. But we did not have our head in the sands about it, I assure you that.
Brennan Hawken: I didn't assume that was the case. Thanks for all the color.
Ralph Schlosstein: Okay.
Operator: Thank you. Our next question comes from the line of Mike Needham from Bank of America. Your line is now open.
Mike Needham: Hey, good morning. I was hoping on, you guys touched on Europe getting a little bit better. Just wondering where in your things improve, is it leading to like actual active mandates in your pipeline and do you think Europe is going to be meaningfully bigger part of your business in the coming years?
Ralph Schlosstein: Well, our business in Europe is a pan-European business but in terms of the concentration of it in terms of where our talent is in our revenues, it's probably a little bit more U.K. based than certainly our two largest independent firm competitors. And that's not to say we don't do lots of business in Germany and Switzerland and France and Italy and Spain but as a share of our revenues in Europe compared to our two largest competitors in the independent world, it's lower. So that's a clear opportunity for us. I would also say if you look at our the proportion of our revenues as John indicated in his answer to one of the other questions early on, our revenues from Europe generally are as a percentage of our total advisory revenues are also lower than our two largest independent firm competitors who by the way both have their births in Europe rather than the U.S. so it's not terribly surprising. But clearly if you asked me in the next three years, our revenues in Europe on a percentage basis likely to grow faster than our revenues in the U.S. assuming we can find the talent and keep in mind, we are a firm that if we can't find an A plus or an A, we wait. But assuming we can find that talent, I would expect that you would see a bit more growth out of Europe than the U.S. because of investments we'll make there and also I do think there is a little bit more of a pick up going forward because keep in mind one of the ingredients of a healthy M&A environment is economic growth and Europe has lagged the U.S. and it's now finally starting to kick in a little bit more.
Robert Walsh: I think I would just add a little more color what Ralph said which is that our Europe we - Ralph and I clearly understand that a major opportunity for us is Europe. And so European leaders to really be looking at how do we grow that business and we'll be spending more of our time with them thinking about that business and growing it. In terms of mandates and where we stand, we feel good about our business there, they continue to actually bring in some very good things that are meaningful. So we anticipate that as Ralph said as the market continues to recover, more will come our way and we clearly have some very good people out there now working really hard. So we feel good about that business, but clearly it's going to be a point of focus for us.
Mike Needham: Okay. Got it. Thank you. And for financial sponsors they've become a much bigger client over time I think for everybody it doesn't look like that stopping given the amount of capital it's getting raised, do you want to be up bankers dedicated to financial sponsors, is that something you feel like you need to do or you set up well as it's a take advantage of the trends? Thanks.
Ralph Schlosstein: John, you want to get that or?
John Weinberg: Sure. Go ahead, Ralph.
Ralph Schlosstein: Now, as you said go ahead, I'll add to your comment this time.
John Weinberg: Okay. Sure. We obviously recognize that it's very important source of activity and we have some truly excellent clients who are financial sponsors. As you probably know, we have very, very strong coverage efforts along industry sectors with financial sponsors and we have I'd say very, very intimate source of contacts and have a good sense for their portfolio. Having said that, you're absolutely right that there continues to be capital raising in those sectors. And we're not aligned to that. And so we're thinking all the time about whether we are putting the right resources against those opportunities. And I would say it wouldn't - it shouldn't be surprising that over time we will add more focus and resources to that. But right now we feel pretty good about the fact that we have very good relationships and we're doing a very good share of business.
Ralph Schlosstein: Yeah. If you actually look at that the number of transactions in our revenues from financial sponsors versus other independent firms, we're actually doing quite a bit better than others. And we've done that as John said by having industry bankers who are deeply involved with and embedded with their industry counterparts in the private equity firms. And the real question is would we - how much more business if any would we do if we had a not only an industry to industry coverage effort but also some generalist effort in some number of places and that's a topic of much discussion internally and it's one that where we're going to test some different approaches to see if in fact we can enhanced what is already an industry leading practice.
Mike Needham: Okay. Thanks for elaborating.
Operator: Thank you. Our next question comes from the line of Devin Ryan from JMP Securities. Your line is now open.
Devin Ryan: Great. Good morning, guys.
Ralph Schlosstein: Hey, Devin. How are you?
Devin Ryan: Doing well, thanks. Busy morning. So I guess maybe first one here just on the capital structure advisory opportunity, I know that it's something that the firm's been focused on and I think it's a growing opportunity, but maybe some of your peers are a little bit larger there. And so I just love to maybe get a sense of how you guys think about the size of that addressable market, how big of a market is it and then where of course relative to the potential there?
Ralph Schlosstein: Okay. Well, first of all, it's certainly not as large as the M&A market. So it's smallish relative to that but probably growing more rapidly and when I say that I'm talking about the circumstances in which clients pay us specifically for that service and that's a - it's still relatively small compared to our M&A advisory business and restructuring advisory business. And keep in mind that keeping aside from that the alternatives capital raising and secondary which is still not huge compared to M&A but is bigger than sort of ECM advisory and debt advisory. The second point though which is really important Devin is that having those capabilities and I would include in that a really deep tax capability allows us to sustain a position of sole advisor or lead advisor for a much longer time or throughout the transaction compared to what we could have done three or four years ago. And so, at the end of the year, we tally up okay if you look at all of the M&A events or fee events that we were involved in, what proportion of those had some input from ECM advisory or debt advisory. And the answer is more than 50% of our fees have contribution typically from both of those. Now that might be an hour or two hours or it might be in some cases as we had recently seven trips to the rating agencies with the client. But in a circumstance like that, in the Evercore of four years ago, we would have been hired by the client to do the strategic work, we would have gotten to the point where they said okay, we need X billion dollars of debt financing and a second advisor would have been brought in long before the transaction would have been launched and there probably would have been something a kin to a 50-50 sharing of the advisory fees. In this particular circumstance, the second advisor was brought in ten days to two weeks before the deal was launched to provide the financing and their fee was de minimus compared to ours. And that wouldn't show up in capital markets advisory but it's a great example of how that allows us to sustain a trusted advisory relationship without a co-advisor for a much longer period of time.
Devin Ryan: Okay, terrific, that color sounds very powerful. I guess the follow-up question here would be on just capital allocation and some of the announcements, so that the large step up in the buyback authorization nearly 70% increase in the authorization size. I know the trajectory is directional with earnings and kind of that maybe the positive outlook, but does that reflect a view on the value of the shares or is it playing catch up at all around capital allocation to the buyback, I am just trying to think about how that level was derived because we initially saw it and said that's a pretty big number?
Ralph Schlosstein: Well, I think the answer is we would prefer to go to our board once every two or three years on something like this rather than every six months or a year, it's that simple. I think our capital allocation policies have been pretty consistent for the last five or six years. Number one, we tend to return 100% or so of our cash earnings, which tend to be higher than our adjusted earnings. We do that through a combination of dividends and share repurchases. I think the dividend increase historically, we've been increasing the dividend annually the board as by 10% to 12%. The board voted for 18% increase this time because our earnings have been growing obviously quite a bit faster than 10% to 12% and our payout ratio had drifted below 30%, whereas historically, we've been in the 35% plus range. And so the way I look at it is the board has basically provided sufficient authorization for a couple plus years of share repurchases. They also increase the dividend more than we have over the last few years to perhaps balance a little bit more the return of capital between dividends and share repurchases. And I would say that it says absolutely nothing about the value of the shares and in the half hour discussion we had about this topic in the board that topic never came up.
Devin Ryan: Got it. Okay. Terrific, thanks so much, Ralph.
Ralph Schlosstein: All right.
Operator: Thank you. There appears to be no questions at this time. I would now like to turn the call over to Ralph Schlosstein for any closing remarks.
Ralph Schlosstein: Now, we just have a lot of work to do to produce what all of you hope and expect in the fourth quarter, so we'll get back to work. And I guess I would just make one other point Devin and if you look back historically, maybe it's just luck, but we've been pretty decent at the purchasing share below where we've issued them for comp. and hopefully that continues, okay. Alright, thanks everybody.
Operator: This concludes today's Evercore third quarter and nine months 2017 financial results conference call. You may now disconnect.